Operator: Good afternoon, ladies and gentlemen, and welcome to today's Fiat Group 2013 second quarter and first-half year results conference call. For your information, today's conference is being recorded. At this time, I would like to turn the call over Mr. Marco Auriemma, Head of Fiat Group Investor Relations. Mr. Auriemma, please go ahead sir.
Marco Auriemma: Good afternoon and good morning to you all, and welcome to Fiat Group's second quarter 2013 results webcast and conference call. The earnings release issued earlier today is available together with a conference call chart set on our website. As usual, today's call will be hosted by the Chief Executive, Sergio Marchionne; and by Richard Palmer, the Chief Financial Officer. After the introductory remarks, we will be available to answer all the questions you may have. Before we start, just on an housekeeping note, let me remind you that any forward-looking statements we might be making during today's call are subject to the risks and uncertainties mentioned within the Safe Harbor statement on Page 2 of the presentation material. As always the call will be governed by this language. With that, I would like to turn the call over to Mr. Sergio Marchionne.
Sergio Marchionne: Thank you, Marco. I'm going to keep my remarks really short. Richard will do all the heavy lifting on the call. We've had a very satisfactory quarter, and I think I'm encouraged by a couple of things. One, I think that the second quarter at Chrysler was a very good quarter considering what we accomplished in the first three months of 2013. And so the machine is back online. I know I mentioned during the Chrysler call earlier that the second half of the year is a challenging second half, because of the product launches and because the profit expectations are embedded in the original target of US$3.8 billion for the year. But notwithstanding all this, I think Chrysler did well. I'm encouraged also by what EMEA has been able to do. We have substantially reduced our losses. And I think there's no magic to this, that we always had a view to the market was under severe stress. And I think Alfredo has done all the right things to maintain a reasonable cost structure to try and weather the storm and expect what we expect this market to recover. Latin America continues to perform well. I think pricing pressures, and I think you'll see this one, when Richard deals with Latin America, but it continues to perform well, certainly on the volume basis. And we expect the rest of the year to be certainly in line with prior years in terms of ultimate output. APAC continues to do well. The house overall is in good shape. There are a number of operational issues that we faced, including a significant number of product launches in the second half of this year. But we remain on track to make the numbers that we aligned at the beginning of the year of €4.5 billion in trading profit. And on that basis, I'll pass it on to Richard, who is going to give you the details.
Richard Palmer: Thank you, and hello, everybody. Turning to Page 3. The group results for the second quarter show solid progress compared to the previous quarter and to the prior year. Briefly worldwide shipments for our mass-market brands reached 1.2 million units in the quarter, an increase of 5% year-over-year. Revenues were up to €22.3 billion. Trading profit was in excess of €1 billion. Net profit before minorities was €435 million. Our net industrial debt was reduced to €6.7 billion, and total available liquidity including undrawn credit lines was €21 billion, in line with Q1. The group has recently successfully concluded several transactions in the debt capital markets. In particular, Chrysler Group took advantage of market conditions and its improved credit profile, to reduce the interest rates with US$3 billion term loan and its US$1.3 billion revolving credit facility. In addition, certain loan covenants were amended to be consistent with what is available in the second lien notes. The interest rate repricing is expected to reduce annual interest cost by approximately US$50 million. In addition, a one-time call premium of US$30 million was paid to investors in June. Also in the quarter, Fiat S.p.A. signed an agreement for a €2 billion three-year committed revolving credit facility intended to replace the €1.95 billion three-year revolving credit facility originally signed in July 2011. The syndication was successfully completed with 19 banks on July 18. As a result of the positive response, the facility was increased as of that date from €2 billion to € 2.1 billion. On July 12, Fiat issued an €850 million bond with a fixed coupon 6.75%, due October 2019. Fiat notified VEBA of the exercise of its third call option to purchase the third tranche of the interest held by VEBA in Chrysler Group LLC, representing a 3.3% of Chrysler's outstanding equity for US$255 million. Moving to Slide 4, here we're talking about the recent award recognized to the Pomigliano plant in Italy, which is one of the group's plants, in which the implementation of world-class manufacturing has delivered outstanding results. After the training period completed in 2008, the plant reached bronze level in 2009, with further investments and refurbishment in 2011 to produce the New Panda. In 2012, the plant was awarded silver status. In the same year, the plant received a prestigious Automotive Lean Production 2012 award in the OEM category for international OEMs. Last month, as the WCM implementation has accelerated, the plant achieved gold status, the first assembly plant within our Group to reach this level of WCM certification. Last but not least, as the result of the WCM program, the yearly savings of the Pomigliano plant are above the group's average. Moving to Page 5, look at the financial highlights. As we mentioned group revenues increased to €22.3 billion driven by NAFTA, APAC and LATAM, while EMEA reported a 3% contraction. Luxury and performance products also showed double-digit increase. Please note, in the financial comparisons here, the Q2 '12 numbers have been restated to the adoption of IFRS 19 revised, which resulted in a reduction in reported trading profit for the quarter of €63 million and a reduction in net profit of €119 million compared to the prior reported numbers. Trading profit for the quarter came in €82 million higher than a year ago €1.029 billion, increasing 9% in nominal terms and 12% at constant exchange. The improvement was mainly attributable to a further reduction in losses EMEA and the strong year-over-year performance in APAC. Results for both NAFTA, which was up slightly over the prior year with improved momentum from new products launched in Q1 and LATAM, supported the full year group target. Group net profit was €435 million nearly double the prior year level. There was a profit of €142 million attributable to owners of the parent compared with the €32 million profit for the prior year. Net industrial debt at June 30, was reduced to €6.7 billion from €7.1 billion at end of Q1, mainly driven by positive operating cash flow for Fiat, ex-Chrysler. Total available liquidity inclusive of €3 billion in undrawn committed credit line totaled €21 billion with a decrease year-over-year in Q1, driven by negative currency translation. For Fiat, excluding Chrysler, total available liquidity was €10.9 million and €10.1 billion for Chrysler. Moving to Page 6, revenue and EBIT by segment, as a topline for the group increased 4% with all segments growing except for EMEA. NAFTA was up 5% or 7% at constant exchange. LATAM up 8% or 15% at constant exchange. APAC grew 46% and luxury and performing brands were up 14%. The group EBIT was up 13%, excluding net unusual items, which we will review in a moment. The EBIT increased to 5% over the prior year, reflecting a further reduction in trading losses in EMEA and strong performance in APAC. Moving to Page 7, if we look at the P&L items below the trading profit line, net financial expense totaled €502 million, €17 million lower than prior year. Net of the marking-to-market of the Fiat stock option-related equity swaps, there was a €13 million increase. Income taxes totaled €120 million. Excluding Chrysler, income taxes were €90 million and related primarily to taxable income of companies operating outside of Italy. Moving to Page 8, we show the major constituents of the unusual items reported in Q2. Chrysler Group, as we mentioned on the prior call, amended its U.S. and Canadian salaried defined pension plans to cease accrual of future benefits and enhance early retirement factors. The amendments resulted in adjustment to prior service cost for which the company recognized a US$218 million or €166 million net reduction to pension obligation with a corresponding benefit to income in the quarter. It's consistent with IFRS reporting, whereas under U.S. GAAP and Chrysler's numbers, this gain was not reported in income, but went straight to equity. The charge of a €115 million or US$151 million represents the accrual related to the voluntary safety recall for the 1993 to 1998 Jeep Grand Cherokee; to 2002 to 2007 Jeep Liberty; as well as the customer satisfaction action for the 1999 to 2004 Jeep Grand Cherokee, following the agreement with NHTSA in June 2013. Moving to Page 9 and look at the net industrial debt walk. Industrial debt was reduced to €6.7 billion from €7.1 billion at March end. In the quarter, the industrial EBITDA and working capital combined exceeding the operating needs due to capital expenditures of €1.9 billion, interest tax and pension fund contributions. Translation effects and positive mark-to-market of hedging derivatives also contributed to the overall improvement of net industrial debt. For Fiat, excluding Chrysler, net industrial debt was €5.4 billion, a €0.3 billion decrease over March end, with cash from operating activities including seasonally positive working capital contribution exceeding capital expenditure of €0.9 billion for the period. Chrysler reduced net industrial debt by €0.1 billion to €1.3 billion. Moving to Page 11, we start reviewing the performance by region, beginning with NAFTA. During the second quarter, trading conditions remained strong in the region with group outpacing the growing U.S. and Canada markets. Revenues were up 5% or 7% in U.S. dollar terms, primarily due to the higher shipment volumes. Trading profit was up 1% over prior year to €668 million, primarily attributable to higher shipments following the key model launches in Q1 and improved pricing, partly offset by increased industrial cost related to new product launches and content enhancements. EBIT increased €46 million mostly due to unusual items. In Q2 2013, the region recorded the accrual related to voluntary safety campaign agreed with NHSTA in June 2013, as well as this was more than offset by the curtailment gain resulting from the freeze of U.S. and Canadian salaried employee defined benefit pension plans effective December 31, 2013, for the U.S. and 2014 for Canada. In the region volumes were up 4% benefiting from full production of the 2014 Jeep Grand Cherokee and 2013 Ram Heavy-Duty pickups, with overall shipments increasing 5% to 468,000 vehicles in the U.S. and 9% to 80,000 units in Canada. Mexico was down 11%. Group vehicle sales increase 10% to 582,000 units with U.S. up 10% and Canada up 9%. Days supply of inventory at U.S. dealers as of June 30, increased slightly from the end of March to 68 days, mainly due to increased inventory for the new launches. The walk on Page 12, details the €46 million improvement in EBIT for NAFTA. The increase was driven by volume of 23,000 units, primarily related to new vehicle launches, partly offset by the lack of Jeep Liberty production compared to prior year. Also positive were a mix, which mainly affected higher retail volumes and net price driven by vehicle content enhancements on new launched vehicles. Industrial costs were impacted by key product launches and content enhancements. Higher cost to support business growth negatively impacted the SG&A by €46 million. The others include the unusual items discussed on the previous slide. Page 13, we look at the industry trend on our performance during the quarter in NAFTA. U.S. vehicle market finished Q2, up 8% of 4.2 million vehicles. Group sales were up 10% in the quarter, where June being the 39th consecutive month of year-over-year sales gains with the best June sales since 2007. Other results, the group's overall market share was up 20 basis points over the prior year to 11.4%, driven by a 17% increase in retail sales. Retail of retail market share was 11%, up 70 basis points. The fleet mix was reduced to 22% of U.S. sales from 27% in the prior year. Looking at performance by brand, Jeep vehicle sales totaled 128,000 for the quarter, up 1% with increases for all currently produced vehicles, including the Grand Cherokee, up 27%; the Compass up 30%; the Patriot up 14%; and the Wrangler up 12%. Dodge, the group's number one selling brand in the region, posted sales of 159,000 vehicles, up 18% from the prior year, mainly driven by the new Dart; the Durango, up 42%; the Challenger, up 20%; and Charger, up 11%. The Ram truck brand posted an increase of 31% to 96,000 vehicles, the best second quarter sales since 2007, with sales increases for both light-duty and heavy-duty pick-ups, which were up 41% and 12%, respectively. Chrysler brand sales totaled 84,000 vehicles during the Q2, down 5% from the same period last year, primarily due to reduced sales of the Chrysler 300. The Canadian vehicle market increased 5% year-over-year to 538,000 vehicles. The group's total market share was up 60 basis points year-over-year to 15.1%, mainly driven by strong performances of the Ram light-duty pick-up, Jeep Grand Cherokee, Dodge Avenger and sales of the Dodge Dart. The month of June was a 43rd consecutive month of year-over-year sales growth, the longest streak in the company's history. Fiat brand sales in the U.S. and Canada were stable at more than 14,000 vehicles for the quarter. The new 500L was launched in the U.S. in May, expanding the existing line-up which includes the Fiat 500 and 500 Cabrio. Moving to Page 14, we review the LATAM region, the industry performance strongly increasing 9% year-over-year, particularly in Brazil, where the market was up 7%, posting the best Q2 ever and Argentina which was up 21%. Group revenues were increased 8% or 15 % of constant exchange. Trading profit was €224 million for the quarter compared to €234 million for the prior year. Net of unfavorable currency translation impacts, trading profit was in line with prior year, with the positive impact of higher volumes and a favorable mix compensating for inflationary increases in industrial costs and SG&A. Total group shipments rose 14% in the region, with Brazil up 11 % to 215,000 units. Shipments in Argentina totaled 29,000 vehicles or 46% increase over the same period in 2012. For other LATAM countries, shipments totaled approximately 14,000 units, an increase of 14% over the prior year. Sales in the quarter were up 10% year-over-year. The company and dealer inventory slightly increased in the quarter, in line with competition to support the second half seasonality. The EBIT walk for LATAM is shown on Page 15. Excluding the currency translational effect, the positive impact from 32,000 higher shipments and favorable mix as well as the positive pricing, was offset by inflationary increases in industrial costs mainly due to higher labor costs and the less favorable manufacturing mix, due to the shift of some production to the plant in Kragujevac. Moving on to Page 16, the passenger car and LCV market in Brazil was up 7% over the prior year to 921,000 units. The group has strengthened its leadership in the Brazilian market with overall share of 22.1%, 350 basis points ahead of the nearest competitor. Group products continued to perform well to a combined 27% share of the A/B segment, driven by the continued success of the new Palio. In addition, the Siena and Grand Siena posted a 44% year-over-year increase and the Strada was up 29% over the prior year to close the quarter with a 53% segment share. In April, the Group launched the Ram 2500 Laramie, the only full-size truck in the market. During the quarter, Fiat brand launched special versions of the Grand Siena and Strada, both the best-selling vehicles in their respective segments. The Brazilian market is pointing to record sales in 2013, entering the second half, seasonally stronger than the first half. However, Q3 will be impacted by tough comparatives due to exceptionally strong 2012, after the IPI tax cut introduction of the prior year. In Argentina, where the market was up 21% over Q2 '12 to 240,000 units, group sales totaled approximately 31,000 units with share up a 160 basis points to 12.8%. Page 17 deals with APAC. Regional demand rose year-over-year, led by growth in China and Australia, while Japan, India and South Korea were down over the prior year. Group revenues were up 46%, primarily driven by Jeep, Chrysler and Dodge, representing over 90% of total revenue. Trading profit came in at €99 million, 1.5 times last year's level, driven by volume growth, which was partially offset by an increase in industrial and SG&A expenses to support business expansion. Trading margin was 8.9%, up 50 basis points compared to prior year. EBIT was up 27% to €76 million, with trading profit performance not fully reflected, mainly due to startup cost for the Chinese joint venture. Group retail sales including JVs totaled 46,000 units for the quarter, a 75% increase over the prior year compared with 6% for the industry. By brand, Jeep sales accounted for almost half of total group sales in the region, which were up 14% over the prior year. Fiat brand sales were more than triple the Q2 '12 level, propelled by the launch of the Chinese produced Fiat Viaggio, group's second best-selling nameplate in the region, after the Jeep Compass. The return of the Dodge Journey to China earlier in the year was well-received, with Q2 sales making it the group's third best-selling vehicle in the region. The group's newly-formed sales operations in India completed the transition from the previous joint venture, allowing the group to take direct control over all commercial and marketing activities. Industrial activities continue to be managed through the JV with Tata. Turning to Page 18. The EBIT walk for APAC, shows a positive impact from 12,000 higher volumes, partly offset by less favorable mix due to higher penetration of sedans and smaller-sized SUVs. Industrial costs increased by €35 million due to higher R&D and fixed manufacturing cost related to new product initiative and increased production volume. SG&A increased due to selling expenses to support volume growth in the region and the regional expansion of the local team. On Page 19, talk about the market trends and business dynamics for Asia. In China, the group sales were up 2.5 times, posting the best sales improvement in the market, growing at 13% and leading to a share gain of 40 basis points driven by the recently launched Viaggio and Dodge Journey, and continued growth of the Jeep brand in the country. In Australia, the market was up 5% with the group continuing to gain share on the back of 39% sales growth with Jeep, with Jeep growing by 18% and a strong performance of Fiat, Alfa and Abarth brands as well as the LCVs. In Japan, the group sales were up 9%, primarily driven by robust performance of Fiat brand, despite the normalizing industry following strong recovery in 2012, after the earthquake. In South Korea, demand was slightly down with group sales bucking the trend and posting a 3% increase, driven by the Jeep brand. Moving on to Page 20, we look at the EMEA region. In EU27+EFTA, the decline in the passenger car segment softened in the quarter, thanks to improved year-over-year trend in April, but was again down in May and June by 6%, with the latter recording the worse June since 1996, with registrations below the 1.2 million mark. The LCV segment performance in Q2 in Europe reflected again a sharp decline in Italy. Group revenues in the quarter were down 3% to €4.8 billion. The trading performance improved €40 million, only 30% over the prior year with a reported trading loss of €90 million for the quarter, achieved through continued discipline on cost and some better mix, which more than offset lower volumes and continued price pressure. EBIT was negative at €74 million, reflecting improvement in trading profit performance and included a €39 million positive result from investments. In the quarter, overall shipments were down 5%, with passenger cars down 5% to 234,000 units, a 13,000 unit decline almost fully attributable to contraction demand in Italy and supply shortage of components for certain models. Shipments of LCV were down 3% to 53,000 units, with improved performance in several EMEA market, partly compensating the 3,000 volume decline in Italy. Page 21, shows in detail the EBIT improvements for EMEA. Negative volumes reflecting the decline in shipments were offset by better mix, mostly attributable to the success of the Fiat 500L. Pricing pressure in key segments continues to remain high and impacted the year-over-year performance by €61 million. There were positive year-over-year changes in industrial cost, thanks to the contribution from the world-class manufacturing program and the €68 million improvement from disciplined SG&A spending. Other includes the normal paid of the unusual charge related to the €91 million write-down in Q2 2012 of SevelNord, partially offset by unfavorable FX, lower result from investments and negative non-recurring items in 2013. Turning to Page 22, you can take a look at the passenger car industry in Europe, which registered a further year-over-year decline with significant decreases for all major market, except Spain plus 2% and U.K. plus 13%. The market was down 8% in Italy and France, and 4% in Germany. For the rest of Europe demand was down 9% overall. Group brands recorded a combined 6.3% share of the market, down 50 basis points over Q2 2012, reflecting the continued reduction in Italy's overall weight in the European markets, now representing 11.2% of the total. The 500 and Fiat Panda posted shares of 14.3% and 13.5% of the segments. The 500L topped 18,000 units during the quarter, competing for leadership of the Small MPV segment with a 16.1% share. The group gained share in Spain and France and remained stable in the United Kingdom. By contrast, share in Germany was down. In Italy, group market share was 29.3%, down 190 basis points over Q2, impacted by the recovery of sales delayed from Q1 due to the car holder strikes in 2012. Additionally, the group's performance in Europe was affected by supply shortages for components of certain models. Page 23 deals with the LCV market in Europe. Although, the European market negative trend improved compared to Q1, there was a decline of 3% over Q2 2012, with overall demand again reflecting the 22% decline in Italy. Fiat professional closed the quarter with a 13.5% share with market, in line with the prior year. Excluding Italy, the group's European market share was 11.4%, representing a 60 basis points year-over-year increase on the back of 10 basis points gain in Germany, 70 basis point gain in France, 180 basis point gain in U.K., and 240 basis point gain in Spain. The Fiat Ducato was the most popular model in this segment, with 34,000 units sold and share up a 120 basis points over Q2 2012 to 22.9%. Group market share in Italy was 43.6%, decreasing 70 basis points over Q2 '12. Moving to Page 24, we can review the luxury and performance brands. Ferrari second quarter revenues totaled €626 million, representing a 6% increase over the prior year. Trading profit totaled €96 million compared with €88 million in the prior year, reflecting both higher sales volumes and strong contributions from licensing and personalization programs. Trading margin was strong at 15.3%, up 30 basis points from a year ago. Ferrari shipped a total of 1,969 street cars, a 2% increase over the prior year, driven by positive performance for 12-cylinder models, particularly the F12 Berlinetta. The 8-cylinder models volumes were down 5% over the prior year. The U.S. remains Ferrari's number one market, representing 24% of total shipments. Volumes were also higher in the Europe with gains in U.K., Germany and Switzerland, more than offsetting contractions in Italy and France. Results were also positive in the Middle-East, with shipments up 13% over the prior year. In Asia-Pacific, shipments to the dealer network were down 9%. Revenues from Maserati totaled €282 million for the quarter, increasing 34% over the corresponding period in 2012. Trading profit came in at €9 million, decreasing from €15 million in Q2 2012, primarily as a result of the higher cost associated with the launch of the new Quattroporte. Maserati shipped a total of 2,291 vehicles, representing a 30% increase over the prior quarter. The continued success for the GranTurismo and GranCabrio, in addition to the commercial launch of the new Quattroporte, all contributed to the results and the brand posted significant year-over-year gains in nearly all markets. As an update on new products, the new Quattroporte is very well received and orders are coming strong, with 8,000 orders received since launch. Production of the high-end Ghibli will ramp up in Q3. This is a model, which is expected to generate significant growth for the Maserati brand over the next years and for which we have already taken more than 2,000 orders. Page 25 deals with the component sector. For the second quarter, Magneti Marelli reported revenues of €1.6 million, representing an 8% increase. NAFTA, China and Brazil registered increases, while Europe was substantially unchanged over the prior year. The lighting business line posted revenues up 16% on the back of performance in China as well as NAFTA, where several new products were launched during the second half of 2012. In Europe revenues were substantially unchanged. For the electronic systems business line, revenues were up 15% year-over-year reflecting higher sales of telematics and navigation systems to non-captive customers. Revenues were also higher for the powertrain business, up 11% with sales to Chrysler making significant contribution. Trading profit for the quarter totaled €50 million compared with €37 for Q2 2012, with a benefit of high revenues being partially offset by higher cost associated with the launch of the new hi-tech products in NAFTA. Teksid posted revenues of €189 million, a 7% decline over the same period in 2012 attributable to lower volumes for the Cast Iron business unit in Europe and NAFTA. For the Aluminum business unit, volumes were up 23% over the prior year. Teksid closed the quarter with a trading loss of €1 million, primarily reflecting the decrease in volumes and profitability for the Cast Iron business. Comau had revenues of €358 million, substantially in line with the second quarter of 2012. Trading profit totaled €11 million, compared with €7 million in the prior year. Moving on to Page 27, take a look at the business environment by region starting with NAFTA. All our models in the region are performing well. In particular, the recently introduced 2014, Grand Cherokee, refreshed with new front and rear exteriors, as well as new electrical architecture and upgraded telematics and more importantly with the new start-of-the-art 8-speed transmission is gaining momentum. Also in Q1, we strengthened our product offerings in the truck category, with a more competitive model, the refreshed RAM heavy-duty pickup. In the second half, launched execution and continue running of capacity higher than a 100% of key challenges for a strong second half, underpinned by the contribution of the two new models just mentioned along with other key model launches underway, such as the all new Jeep Cherokee, competing in the largest SUV segment in NAFTA, the Fiat 500L and the new Ram ProMaster, the first full-size van offering into an expanding purpose-built segment. Page 28 deals with the recent situation in Brazil and its economic prospects. Recent mass protest against the service standards have subsided, not withstanding the limited impact of social unrest on economic activities, uncertainty could create a slowdown of the economy. At the beginning of July, we have to manage a few days of production stoppages due to the car haulage strikes. The government is managing the inflationary pressure through controlled monetary policy actions and consumer confidence is currently under pressure, but it is expected to return to normality in a relatively short period of time. The Brazilian economic scenario remains solid and consensus estimates remains positive. Page 29 shows the contribution by brand to the 75% sales growth in APAC driven by the Fiat Viaggio whose sales are continuing to improve, strong performance of the Jeep brand with Q2 sales being the 15th consecutive quarter of year-over-year growth, and Dodge brand sales boosted by the recently re-introduced Journey. The Jeep Grand Cherokee has been rolled out throughout the key markets in APAC, office debut in Asia at the Shanghai Auto Show in April where it's recognized as the most powerful luxury SUV in China by the trade media. Slide 30, we take a closer look at the key model introductions in EMEA. The 500 family continues expanding its product offering with the 500L Living and Tracking models, consistent with the brand goal of being distinctive enough in the mass market to differentiate itself from traditional competition. As said earlier, export of the 5-seater goes into NAFTA started in the current quarter. The Living model is the most compact 5+2 seater MPV in its category, combing the charm of a 500, the compactness of a mid-sized car, the comfort of C-segment station wagon, and the versatility of an MPV. The Tracking model is equipped with Traction Plus, a smart front wheel drive technology, which improves grip on snow and rough terrain. Both vehicles were launched in July and the full rollout in European markets is expected to be concluded by yearend. Moving to Page 31, and show interest in our industry outlook by region. The unchanged full year forecast for the U.S. markets of 15.5 million vehicles is consistent with the annualized trend experienced during the first six months, which points to a 15.7 million SAAR. The Canadian market is expected to be in line with prior year levels, with industry volumes to date supporting the outlook. Industry trend in LATAM, in the first semester it supported with a mid-single digit growth for the full year, with Brazil set to post another all-time record and Argentina expected to keep performing positively. In APAC, the overall industry is projected to increased about 5% year-over-year with growth in China and Australia partly offset by contracting demand in Japan and India. In EMEA, our expectation for 2013 remain unchanged, with the Passenger Car segment in EU27 plus EFTA market is expected to contract in the 3% to 5% range versus prior year, and the LCV market should post a 5% year-over-year decline. Moving to page 32, the group is targeting shipments for 2013 in the range of 4.3 million to 4.5 million units, of which 2.2 million in NAFTA. LATAM and EMEA are expected to kind of have about 1 million units each and APAC is aiming to the almost double last year's shipments level. Now turning to the guidance on Page 33, we confirm our 2013 guidance with revenues expected to be in the €82 billion to €92 billion range, trading profit from €4 billion to €4.5 billion, net profit expected to be in the €1.2 billion to €1.5 billion range and net industrial debt of €7 billion.
Marco Auriemma: Thank you, sirs. Now, we can get started with the Q&A session. Operator, please go ahead.
Operator: (Operator Instructions) We will now take our first question from Martino De Ambroggi of Equita.
Martino De Ambroggi - Equita: Two questions on EMEA region. The first one is on price, if you could comment a bit on the environment, which seems did not improved over also in Q2 in Europe?
Sergio Marchionne: Let me confirm that pricing is not great.
Martino De Ambroggi - Equita: But what do you expect going forward?
Sergio Marchionne: Similar conditions for the remainder of '13.
Martino De Ambroggi - Equita: Still on the EMEA region, I saw the improvement mainly came from SG&A industrial costs. What do you expect going forward from this? Is there any additional rumor that can be expanded?
Sergio Marchionne: No. Look there is pointed time in which you get to start cutting bone and we're at that stage now.
Martino De Ambroggi - Equita: And the last question always on EMEA. You are improving operating performance despite no volumes recovery, but what's the update to the volumes of shipment. You are confident that enough to guarantee breakeven for the region?
Sergio Marchionne: I think our view on this has remains unchanged. I think the objective is to try and provide industrial utilization of the industrial framework in EMEA. It can only happen with the support of our global market plan, which effectively uses the Italian asset base as an export function. And we're far removed from that. I think for the first time, I think I made that comment in my remarks that we're looking at breakeven positions by 2015. That view is unchanged.
Operator: We will now take our next question from Massimo Vecchio of Mediobanca.
Massimo Vecchio - Mediobanca: On the plan about using the Italian production footprint for Alfa Romeo, I want to know if you have an update after the recent issues with the union and with the Italian system, I may say, overall. If those discussions are such to change the plan or postpone or to alter it in some way, this would be very interesting from?
Sergio Marchionne: If the investor conditions in Italy remains such that it is impossible to properly govern the industrial operations in this country. And then, obviously, any commitment that we made for this country is up for grabs. And I think that I made it very, very clear we're still trying to understand the implications of the latest court ruling on what Fiat is doing in Italy. And as I understand it now, we are in the process now organizing a meeting with the union, which has been at the heart of the dispute to Fiat. We'll see where it takes us. I mean I will remain open-minded on ways to try and bridge the expectations between what we think have to be done to get this operation running and what their thinking is. I don't prejudge the issue. I just think given the lack of certainty that has been triggered by the latest round of judicial interpretation of Article 19 of statute. And I think we're hard pressed to come up with something that can actually withstand time. We have been public on this that that article that has now been seems to unconstitutional was introduced as a result of referendum in 1995. It's been upheld in numerous occasions by the constitutional court in previous instances. And we have now find that it is no longer valid. So we're looking for guidance. We have urged the government to makeup for this deficiency and certainty by introducing some type of legislative measure. We're waiting for the government to intervene. And I have seen noting yet that will suggest that that certainty has been provided.
Massimo Vecchio - Mediobanca: What kind of alternatives do you have to produce? The new models that you have in the pipeline in U.S. or is there any kind of alternative?
Sergio Marchionne: There are always alternatives. I mean a company that can produce 4.5 million cars globally has got alternatives. I mean I wouldn't worry about that.
Massimo Vecchio - Mediobanca: If there is a timing deadline after which you have to kick-off the plan and so does leave it, in or out for the time footprint.
Sergio Marchionne: Yes. There is always a timing deadline. I'm not sure that a financial analyst call is the environment to have that conversation, to be honest.
Massimo Vecchio - Mediobanca: The second question on the Ghibli. If you can expand a little bit on the mix of the orders that you earlier fixed in line with your expectation, if it's better or worse?
Sergio Marchionne: The Ghibli has just started, give it a chance. I think the initial reaction for a car that's not even in the marketplace is outstanding. I am delighted with the performance of both the Quattroporte and the restructure of the Ghibli. So it will do well.
Massimo Vecchio - Mediobanca: Last question on the European market, do you still stick with your minus-three, minus-five the market is down, I guess, 6.6, for six months of the year, so?
Sergio Marchionne: Work it below all of the averages.
Massimo Vecchio - Mediobanca: So basically, can you share with us the reasons behind your optimistic view in the second half?
Sergio Marchionne: I'm not sure, its optimism. I think it's a reflection of where the second half was last year.
Massimo Vecchio - Mediobanca: So you are expecting a flattish second half?
Sergio Marchionne: There you are.
Operator: We will now take our next question from Alberto Villa of Intermonte.
Alberto Villa - Intermonte: A couple of questions. First one is on the trading profit target that you did not changed despite the reduction or the introduction of the range for Chrysler. I was wondering, if you can kind of bridge the expectations for the main regions, especially in light of the fact that LATAM, second one to reach the €1 billion. You mentioned in previous call as a target for trading profit looks pretty challenging. And then if you can give us an idea of what are the losses in the EMEA region could be, in light of the very good achievement you had in the first half this year, so if you can give us an idea on that. And secondly, on the decision of the Court of Delaware, I read some statements saying that you were expecting a decision by the end of this month, is that true? And secondly on this same issue, you said that you're continuing to prepare for the IPO process requested by VEBA, if you can give an idea of when eventually Chrysler would be ready to IPO in the future?
Richard Palmer: In terms of second half, most of the improvement in the second half, results will come from NAFTA. Clearly, as we mentioned on the call, the Chrysler call, we have a significant challenge in the Chrysler to increase volumes and profitability in the second half. And the most of the weight of that improvement will be on the NAFTA region. So that cancel most of the increase for the second half compared to the first. And we expect LATAM to be up compared to the first half. The market is seasonally better in the second half. We're continuing to sell a very high share and perform very well commercially. And so we continue to expect LATAM to be at around the same guidance we gave you three months ago. Another contributor would be Maserati, because as we mentioned just now the Quattroporte and the Ghibli are ramping in the second half, so that will be a positive contribution second half compared to first half. And I think in terms of EMEA, we're going to continue to focus on the cost equation and manage volumes, then we'll see where we get to at the end of the year. I don't think we will give any specific guidance on that, it's a month-by-month exercise.
Alberto Villa - Intermonte: But it's fair to assume that second half losses in Europe, in EMEA would be higher than the achievement you had in the first half or not because of the third quarter and seasonally not higher?
Sergio Marchionne: I don't think you should make that assumption.
Alberto Villa - Intermonte: Sorry, I didn't get you?
Sergio Marchionne: You suggested an assumption. I'm suggesting you shouldn't be making the assumption.
Richard Palmer: In terms of the preparation for an eventual IPO on the Chrysler side, we are preparing the S1. And given the timing of that preparation the review prices for the SEC et cetera, the timing would be November, December timeframe. Because obviously, the SEC process as you are aware takes three to four months.
Sergio Marchionne: And by the way, just to caution, Richard's optimism, it depends on the number of comments that we get back from the SEC and how long it takes to clear the documents. So under our best of intentions, November and December would be an ideal time, which is also the long time I think from the capital market standpoint to do this, but obviously by the end of the year, we'll be in a position to move in an IPO. That's the expectation.
Alberto Villa - Intermonte: Any update on the court of Delaware timing for the decision?
Sergio Marchionne: I mean, your guess is as good as mine. I mean we are not in the position. I have no insider information as to when the judge is going to rule, but I think common wisdom would have suggested that this judgment would have come down by the end of July, but it will come on when the judge is ready. So that we're clear on these calls. Once the calls are triggered they are binding and they have no way of being revoked. So on our side, once we pushed the trigger they call it in place and it's a time-definite call, because the mechanism for pricing the options is setting the agreement, subject to clarification by the court, which means that even if it takes 12 month, the calculation of the actual amount can be done. And it won't change subject to market conditions or changes in performance, because it's a backward looking test. So the important thing for my standpoint, from Fiat standpoint is to trigger those productions at the earliest possible time that we can. So we've done three so far. There is another one that's available in January and another one in July of next year. Even if the IPO were to be executed, the call options need to be exercised.
Operator: We will now take our next question from Richard Hilgert of Morningstar.
Richard Hilgert - Morningstar: Any orders for any bulletproof Fiat?
Sergio Marchionne: We aim to. Please, if you like one, just let me know, I'll ship one your way. We do have some connections.
Richard Hilgert - Morningstar: I was curious to know what the impact to the EBIT was in the quarter as a result of the shutdowns in LATAM as well as the shutdown from Selmat?
Richard Palmer: In LATAM it was not a significant number. In the second quarter we have some shutdowns in July, so we loss a few days production, but not that significant I would say for July either.
Richard Hilgert - Morningstar: The cardinal rule for suppliers is never shutdown your customer, and since you've experienced some difficulties this quarter. And it looks like just looking at where Selmat is located. You've probably got relationship with them outside of Italy as well. Can you tell us what relationship there?
Sergio Marchionne: Actually, we don't. All right. This is matter of subject to litigation and to be honest, it's not something that I will like to publicly discuss. The numbers is sufficiently material on the context of Fiat and Fiat industrial. We have not highlighted the number because it is contained in one of the variances in the charts that you've seen. It is the subject matter of a damage claim against Selmat and I think I will stop here. Because, I think anything that we say here is going to be other used or misconstrued in the litigation process. It is something which we find incredibly and satisfactory. I think the situation has improved. Certainly in the last 10 days, we have see a significant pick up in performances as a result of the summer shutdown. We are committed to close the gap between what was promised and what is effectively being delivered and I expect hopefully that by the end of August we'll be in a position to resume normal production across all the plants. But the issue of what has been suffered as a losses initially has to be resolved elsewhere. And I'm not sure this call is the right place.
Richard Hilgert - Morningstar: And last question. Your competitors to the northwest have had many talks, discussions about headcount reductions and it seems like you've taken the tact that you can use the Italian operations as a base of export. Have you decided that there should be no further discussions on potential headcount reductions or is that an avenue that you could still pursue?
Sergio Marchionne: I think that option is always available. I think we have taken the view that we can intelligently use the know-how and the established production base on this country. To specifically dedicate into the production of Alfa and Maserati, which are in the process now being at least from an engineering standpoint of being developed with some intensity and should allow us to be in a position to produce hopefully within 2014 and '15. The biggest concern that I have to what I've just told you is the ability to govern the plans. It's been the overriding concern that we've had, I thought that we had achieved a relatively solid agreement with unions. I don't know whether you have followed up the latest sort of travel of the judiciary on this, but there has been the latest decision by one of the Italian courts, that has effectively opened up the avenue to at different interpretations of that conflict. And I think we need to see where it takes us or whether we can effectively restore normal industrial relations in this environment. If we can than I think we will feel comfortable, continue the investments cycle that we started. In the absence of that certainty, then I think we have to sit down with the relevant parties including the government to try and find out how we move this forward. There is no guarantee. As you can see from all this, better you see from the numbers and from the performance that we revealed today, the ability to finance all these activities in these countries depend on the ability of Fiat, Chrysler globally to continue to perform. This is not a self funding operation. So in order for the assistant, you have to rely on extra Italian funding to try and get this done. We need to have the certainty that all these industrial projects are going to be executed without disruption. And that's something that's far from going guarantee today.
Operator: We will now take our next question from Philip Watkins of Citigroup.
Philip Watkins - Citigroup: It was more on the financing side. I had two. First of all, I was seeing FGA Capital, and they seem to have lost their investment grade rating from Standard & Poor's. And I was wondering if there was any or you have thought there might be any implication for that in terms of the European financing? And the second question was actually on, I know you've done progress in terms of the Chrysler loan, the term loan, in changing the covenants. Is there any prospect to take that out completely, and give you a bit more leeway over the next year in terms of access to Chrysler cash?
Sergio Marchionne: Maybe you can explain the second question again, I'm not sure that we understood it.
Philip Watkins - Citigroup: So you still have restricted payments within there the term loan.
Sergio Marchionne: Yes, we do. Yes, on the bonds.
Philip Watkins - Citigroup: And I mean why not you just buyback all of those loans?
Richard Palmer: The issue is that even if we want to do, the buyback of the bonds would be anti-economic until 2015, 2016, because of the make-whole provision until that date. So the IP on dividends is present in the bonds and we aligned the term loan IP to the same language as the bonds which expanded our flexibilities compared to the initial terms of the term loan. So the term loan was €0.50 billion limit previously. Now there is a build a basket, same as the bonds. On FGA Capital, we're quite confident that we can continue to raise financing also given that we have the score of Crédit Agricole in the joint venture.
Philip Watkins - Citigroup: Does that mean that you'll just finance with ABS with FGA Capital. I know you've done that, a lot of that already.
Richard Palmer: We're using ABS, we are using bonds, we're using medium-term financing from banks and from FGA and from Crédit Agricole themselves. It's a mix of instruments that we use to finance.
Philip Watkins - Citigroup: No material change in your financing cost that you think.
Richard Palmer: No.
Operator: We will now take our next question from Max Warburton of Bernstein.
Max Warburton - Bernstein: I've got three questions, if that's okay. The first one is predictably on Brazil. Richard made some pretty optimistic comments about the outlook in Brazil, certainly relative to the way the rest of the industry sees it. In that context, are you still reasonably confident that you can do the €1 billion of profit in the region that I think you talked about at the beginning of the year. I think you said, operating profit this year would match last year after 410 in the first half, is €1 billion still possible or is the second half actually going to come in a bit short of the first half contribution? That's the first question.
Richard Palmer: Given the trend we see in the market to date. And our commercial performance, we believe we can get to the €1 billion. Clearly, it's a function also of how the market response in the second half of the year, following the unrest we saw in July. As we commented, we believe the market will continue to perform well. And that is obviously a condition thus necessary for us make that number.
Sergio Marchionne: But Max, the view today, is that second half will be better than first half and we have no indication to suggest that the forecast is not mature. And if you look at the volumes by the way in the first half of this year, I think they are historically high enough. We can mandate it so. It's not a lack volume, the issue that's caused, that we've encountered in the Latin America in the first half, it's fundamentally a question of cost pass through and that's being adjusted as we speak.
Max Warburton - Bernstein: I guess, the thing, at least people are scratching your heads is your profitability in the region looks more and more like an outlier. I guess it's always been best-in-class, but most others, both incumbents and new guys?
Sergio Marchionne: Yes, I know, I understand the problem. But let me tell you how I look at this. If I make a 100, and the other guy makes one and I suffer this location of 10, the other guy is negative.
Max Warburton - Bernstein: So that's basically starting point that's what we're talking about.
Sergio Marchionne: The real problem with this is that if anybody tries to move pricing in an adverse way in that market given our cost structure, it will be a lot more painful for somebody else than it would be for us. So I am actually going to try and help.
Max Warburton - Bernstein: You're going to try and help with?
Sergio Marchionne: To help them managing some issue that the 100 was preserved.
Max Warburton - Bernstein: Second question, a broader BRICs question. I think all of us spend all of our time worrying about Brazil in the context of Fiat, but looking around the rest of the world, are there other places where we should be getting nervous? And, particularly, could you remind us where you book all the profit from selling engines in India, all those engines that go to Maruti and Tata, in which volumes are falling? Is that something meaningful, and where do we see that appear?
Sergio Marchionne: The answer is that it is not as meaningful as it should be. But I'm not worried about it.
Max Warburton - Bernstein: And then my last question is turning to Europe. On the quarterly basis, at least you don't split R&D between Chrysler and Fiat as far as I can see. If we were to see pure European or pure Fiat R&D, how has that's been developing? Is that beginning to tick up as you guys start working on Alfas or is it something where actually, when we look this incredible cost result, particularly in Q2, where you're still managing to reduce R&D spending?
Richard Palmer: To be frank, we've had a relatively low R&D for the last 18 months, probably a slightly longer than that given that we desisted from investing in the European marketplace for a relatively long period of time. The main impact on cost reduction is the reduction in commercial cost in the marketplace, given the pricing pressures and the volume pressures we've reduced significantly our spending on marketing.
Max Warburton - Bernstein: I mean, on R&D when is the inflexion point? When do you have to start ramping? And in terms of what your engineers in Europe are doing at the moment, I guess I'm less wondering what exactly do all these guys do on a daily basis. There is so little in the pipeline that I guess they're going to work, but just describe to me the typical day in a life of a Fiat European engineer right now?
Richard Palmer: When they are idling, which is rare, they are involved in sort of maintenance programs that relate to existing products that are in the marketplace. There has been, and I am not trying to correct Richard, but there has been an increased utilization of the R&D work force here because of the commitment that we've made in terms of the two plants. The plants in Melfi where we're going to be manufacturing both the, a B segment Jeep and a B segment Fiat CUV. And so there are number of resources that are now being directed towards that end. The utilization of the rest, which otherwise is coming through the P&L and potentially it could be comprised is totally in connection with the undertaking on the Alfa Romeo project and that's a very limited scope activity right now, and it's non-material to the numbers that you've seen. It will become material as we go forward and I think that we'll highlight those costs as we go forward, but today they are not.
Max Warburton - Bernstein: I've got a final question. I mean, this may be a bit of a strange one for an analyst call, but it's fascinating to me, looking at this company. How much was saved on the 4C by not tooling up to do some headlamps, and whose decision was that?
Sergio Marchionne: It was mine, and the numbers was about €4 million.
Max Warburton - Bernstein: I mean, is the budget in the context of Alfa's re-launch not sufficient to pay €4 million to have headlamps, given sort of the press response with people commenting that this thing was done on a shoestring?
Richard Palmer: If you're buying that car because of the quality of the headlights, you've got a trouble. I mean, the reason why you're buying that car is, it's the handling capability of the car and the way in which it functions on the track. And I actually like the current headlights better than the ones we were offered as an alternative, a personal choice. So blame me if you don't like it.
Operator: We will now take our next question from Charles Winston of Redburn Partners.
Charles Winston - Redburn Partners: Three from me, but slightly nerdy numbers questions, just very quickly. The working capital move in core Fiat, the EUR853 million in the quarter, looks pretty chunky relative to trying to tie it back to the movements in the balance sheet. And, obviously, we don't get a Fiat-only balance sheet. So, I'm wondering if you could just give us a little bit of an explanation as to what the key movers behind that figure was and what your thoughts for working capital in the core Fiat might be for the year? Secondly, just the Chrysler tax rate looks pretty low, just looking on page seven, comparing Fiat, ex-Chrysler, with the Group. There didn't look to be very much tax paid there. Any weird items there I should be aware of? And then, just finally, on CapEx, if you could, perhaps, give us an update, there's been a few market changes since you gave your initial CapEx plans back at the 3Q results last year. I guess, particularly, perhaps, in LATAM and parts of the emerging world looking a little bit more difficult. Any changes on the CapEx guidance in terms of, perhaps, towards the upper end or bottom end of the ranges you gave? Or, perhaps, if there's any updates on those investment plans, it would be useful?
Richard Palmer: So in terms of working capital, as you mentioned we had positive impact on Fiat, ex-Chrysler, it was higher than last year's number on a seasonal basis. This is the generally a positive quarter compared to Q1. And the extra performance compared to last year is driven by the growth in EMEA, LATAM and Maserati all contributing positively to working capital, and also to CapEx as you mentioned the CapEx is up. But all of that didn't go out as a cash. So that increased our payables as well. So there is a switch between the CapEx line and working capital until we actually make those payments to suppliers. So those are the main reasons why we had the positive working capital performance in the quarter. In terms of tax, we didn't have any unusual in the Chrysler tax line. As you know, we're an LLC, so in the U.S. we don't pay taxes, we continue to pay taxes in China, the slightly lower taxes in Venezuela given the market performance, but the rest is basically pretty much flat. And in terms of CapEx, we confirmed the guidance we gave you. We are investing in the U.S. and in particular, but also we started to ramp up investments in the Latin America for Pernambuco and we are also starting to spend money on the Melfi as mentioned for the two products that will come out of the Jeep and the Fiat. So no particular comment on any changes to CapEx guidance.
Charles Winston - Redburn Partners: Can I just follow up on thoughts of working cap in core Fiat for the year at all? Just given out this is very difficult thing for us to model, because it can swing pretty widely quarters-to-quarters, I just want to, what you think it might end up for the year.
Richard Palmer: Generally, third quarter will be a negative, because of the shutdown in August. And then it should come back in Q4. I don't think that will have a significant positive for the rest of the year, but it will be a negative in Q3 and it positive in Q4.
Operator: We will now take our next question from Jochen Gehrke from Deutsche Bank.
Jochen Gehrke - Deutsche Bank: Just coming back to LATAM, when you look at the GDP forecast that you put yourself up on the presentation and at the same time you look at the capacity increase that the whole industry has, should we be fearing that there's more and more over capacity in the coming two, three years that is grinding down or do you actually see in the market that some of your competitors are starting to scale down their ambitions to grow capacity in the market? And secondly, just on NAFTA, what are your expectations in the pickup truck segment now that your competitors are relaunching the vehicles, if some of the portion on Chrysler for the second half or the incremental portion reflecting potential pricing pressure on Ram or is this just a wrong assumption? And then thirdly, just a more general question, obviously you have your regional profitability splits, and us, on our side, we're very often comparing you to the ones that share this disclosure? When you look at how you allocate cost regionally in your company how the element of royalties plays a very large role, do you really think that it is actually right from our side to compare you in the various regions to call it a GM or Ford or when you look at your own comparison, just look at the group number and compare Fiat overall to what GM overall generates?
Sergio Marchionne: Just to deal with the last issue on the comparability of our numbers to our competitors on a regional basis. I can only make comments about our numbers. I have no idea how theirs is concocted. So you're asking me to speculate on their compilation methods. If they're done on the same basis as ours, the numbers are absolutely comparable. And we do not have any, what I call, extraneous charges coming through from one side to the other to try in effect of the other shift or realign profits in a way in which satisfies our preordained view of profitability of a given region. So I mean there is honest and as straight as we can make them. There is no, nothing else goes through there that is not operationally relevant to that region. Issue number one. On the issue about Ram, there is zero concerns built into the cautions for the second half of this year about the ability of Ram to compete. I think we have a superior product line and I understand that the competition is fierce and that it's a very desirable market for all the major three in this market, but there is no pessimism, there is no caution built on what I think Ram can do. I think Reid Bigland was now in charge of the brand will share this level of optimism of ordering. And effectively I think we're seeing certainly and opening up of opportunities for Ram, from Ram across the board including the extension of the Ram, the Ram brand into the sort of professional area with the introduction of the new ProMaster, which is coming upstream in the third quarter. In terms of your other question on Brazil, as to whether I think our competitors are toning down there expectations. Brazil, the Latin America has always been a saber rattling environment where people come in and just threaten others where the buildup of capacity and the buildup of additional plants. You need to look at this from Fiat's standpoint. Fiat has got a plant in Betim, which is the largest car plant that I am aware of in the world and that when it runs at peak, it's making about a car every 20 seconds. And that is a situation that cannot continue for a long period of time, because the level of congestion and excess of reliance, I want to consider one production site. The market also in our view, I think is going through structural shift and because of the increased economic conditions. One of the things that's under chart that Richard pitched in the pack is the phenomenal increase in GDP per capita that you see between 2010 and today. And that relative increase in wealth is also causing a shift in consumer demand. And I think we have now as a result of the association with Chrysler, the possibility to do some more significant things in Latin America that we try and deal with that market shift beyond the Fiat brand, which is historically been the strength of Fiat in that area. So yes, the saber rattling has slowed down. I think we hear less now about plants being built. I'm less concerned about offsetting excess capacity in the market to try and deal with that demand function. I think we've remained as confident about the prospects for Latin America as we've always been. And I think it hasn't failed us certainly in the last 10 years in terms of performance. And I think that will continue.
Operator: We will now take our next question from Philippe Houchois of UBS.
Philippe Houchois - UBS: I have three questions. The first one maybe you can start with, for Richard. On slide 37, you show us the reconciliation, US GAAP to IFRS for Chrysler, and the number we all look for is the capitalization of the ultimate cost, but you give it to us after tax. Can I ask you, what tax rate do you use? Because the Chrysler reported tax rate is between 6% and 7%, but the Fiat tax rate is 22%. So when we do that adjustment, which tax rate are you using for that particular calculation? Is it the Fiat one or the Chrysler one?
Richard Palmer: There is no tax impact on that.
Philippe Houchois - UBS: Well, you do a net income. So it's a pretax number?
Richard Palmer: It's a pretax number, because the spending is basically in the U.S. where we're having the tax impact.
Sergio Marchionne: And the Fiat tax rate is irrelevant to that calculation.
Philippe Houchois - UBS: No, that makes sense. I just wanted to clarify that, because I have just asked myself that question a couple of times before. The other question I have is on Brazil. We hear you and Renault and Michelin and a number of other players talk about offsetting the currency devaluation in Brazil, et cetera, with pricing. How does that work? I mean, you basically, consumers are accepting significant price increases.
Richard Palmer: Untrue.
Philippe Houchois - UBS: So how does it work?
Richard Palmer: Untrue, I don't know how it works, because it's untrue.
Philippe Houchois - UBS: So when you report, I think this quarter you just reported €22 million loss on currency, that's a translation impact of your business, that's all it is?
Richard Palmer: Yes.
Philippe Houchois - UBS: And the next question to you Mr. Marchionne, if I can is can you actually explain to me what is strategic about RCS? Why is Fiat putting any cash into RCS?
Sergio Marchionne: Because it reflects a historical commitment to a significant asset in this country and I think as long as we are, who we are in this country and the maintenance of that position and the protection of that asset in this context is important.
Philippe Houchois - UBS: So it's not strategic, it's the tradition?
Sergio Marchionne: No.
Philippe Houchois - UBS: I mean, you're not trying to influence the press or anything like that. You're just a car maker?
Sergio Marchionne: No. But I m a car maker, but tradition does have strategic value.
Philippe Houchois - UBS: Because in the one hand you make that commitment to RCS and then on the other hand you're quite harsh on what's going on Italy, in terms of, at the end just to run your business. And I'm just trying reconcile the two event, I know it's only €100 million, but €100 million is a lot of money for Fiat.
Sergio Marchionne: A €100 million is a lot of money for everybody, Philippe, including UBS. The real question to me is that I think you need look at this as a single event occurrence and specifically related to an asset class. We don't have a variety of these asset classes. We're not confused, right. So there is something that are historically relevant and need to be protected, that asset is one that require protection.
Marco Auriemma: I guess then we can conclude the call now. And so we would like to thank everyone for joining us today. My team and I look forward to following up any further questions. The release of the group earnings results for the third quarter 2013 is scheduled on October 30. Bye.
Operator: That will conclude today's conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.